Operator: Welcome to Tremor International's Fourth Quarter and Year Ended December 31, 2022 Conference Call. At this time, participants are in a listen only mode with the question-and-answer session to follow at the end of the presentation. This conference call is being recorded and a replay of today’s call will be made available on the Investor Relations section of Tremor's Web site.  I will now hand it over to Billy Eckert, Senior Director of Investor Relations, for introductions and the reading of the safe harbor statement. Please go ahead.
Billy Eckert: Thank you, operator. Good morning, everyone. And welcome to Tremor International's fourth quarter and year ended December 31, 2022 earnings call. With us on today's call are Ofer Druker, Tremor’s Chief Executive Officer; and Sagi Niri, the company's Chief Financial Officer. This morning, we issued a press release, which you can access on our Web site at investors.tremorinternational.com. During today's conference call, we will make forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. We advise caution and reliance on forward-looking statements. These statements include, without limitations; statements and projections about our anticipated future financial results, including discussions about our revenue, margins, expenses and guidance for full year 2023, as well as future business; anticipated benefits of Tremor's strategic transactions and commercial partnerships; anticipated features and benefits of Tremor's products and service offerings; Tremor's positioning for future growth in both the US and international markets in 2023 and beyond; Tremor's implementation of a substantial share repurchase program, while also continuing to evaluate strategic opportunities to acquire companies and invest in technology, product, sales and marketing to further expand its platform; Tremor's medium to long term prospects; management's belief that Tremor is well positioned to benefit from anticipated future industry growth trends and company specific catalysts; the potential negative impact of inflationary pressures, rising interest rates, geopolitical and macroeconomic uncertainty, recession concerns and the widespread global supply chain issues that have limited advertising activity; and the anticipation that these challenges could continue to have an impact for the remainder of 2023 and beyond; the anticipated benefits from the company's investment in VIDAA and its enhanced strategic relationship with Hisense; the anticipated benefits and synergies from acquisition of Amobee and ability of Tremor to continue to recognize those synergies; Tremor's ability to continue to execute on cross-selling opportunities and its introduction of new technology products to a significantly larger customer base and addressable market; the timing to complete the technology integration of Amobee and other statements concerning the expected development, performance and market share or competitive performance relating to our products or services. All forward-looking statements are based on information available to us as of the date of this call. These statements involve known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from those implied by these forward-looking statements, including unexpected changes in our business. More detailed information about these risk factors and additional risk factors are set forth in our filings with the United States Securities and Exchange Commission, including but not limited to, those risks and uncertainties listed in the section entitled risk factors and our most recent annual report on Form 20-F. Tremor does not intend to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information IFRS and non-IFRS terms. We refer you to the company's press release for additional details, including definitions of non-IFRS items and reconciliations of IFRS to non-IFRS results.  At this time, it is my pleasure to introduce Ofer Druker, CEO of Tremor International. Ofer, please go ahead.
Ofer Druker: Thank you, Billy, and welcome to everyone joining us today. I will begin by providing an overview of our results and strategy, and then will hand over the call to our CFO, Sagi Niri, to discuss our financials. We will then open the call for questions. Results for Q4 include contribution from Amobee and full year 2022 results, include contribution for Amobee for the September 12, 2022 through December 31, 2022 period. Following record organic growth in 2021, we continue to deliver strong results in 2022, highlighted by significant market share expansion and above average growth rates within CTV. We were able to achieve this result, while executing a strategic acquisition and investment that strongly position the company and its customer for future success despite continuing challenging market condition that weighed heavily on advertising demands throughout 2022. In the fourth quarter, we generated record contribution ex-TAC of $103 million, reflecting 16% year-over-year growth, as well as record full year contribution ex-TAC of $309.7 million, reflecting 3% year-over-year growth. We achieved this growth while remaining focused on generating high level of cash flow and profitability, which we find be even more important in our certain markets. We strongly believe our operational efficiency driven by our end-to-end technology stack is a strong competitive advantage and differentiator. It position us well to better periods of advertisers’ uncertainty and provide flexibility to invest in our platform to drive future growth and innovation. For both Q4 and full year 2022, we achieved our most recent adjusted EBITDA target, generating $36.9 million and $144.9 million of adjusted EBITDA respectively. For the full year, we generated adjusted EBITDA margin of 43% as a percentage of reported revenue and 47% as a percentage of net revenue. These results are particularly impressive as we invested significant management and combined team efforts acquiring and integrating Amobee, which operated at the loss when we closed the acquisition in September. In addition to generating record net revenues and strong profitability, we continue to grow our share within CTV at what we believe to be rates faster than several competitors in the industry. This outperformance in CTV highlighted our strength and resiliency in the segment and was driven as a direct result of our intentional strategy to emphasize and invest significant resources in CTV related product development over the last several years. We believe this ongoing emphasize on growing and expanding our capabilities within CTV will provide the company and its customers with increasing advantages over time. In Q4, we generated record CTV spend of $99.6 million, reflecting a significant year-over-year growth of 59%. For the full year, we generated record CTV spend of $283.6 million, reflecting 41% growth compared to 2021. CTV and programmatic activities has been and will continue to be primary focus and growth drivers for the business. We strongly believe advertisers seeking solution within CTV will continue to favor end-to-end tech platform as they provide added costs and data advantages compared to one-sided solution, and better optimize the supply chain, which other major ad tech companies are increasingly echoing. We have observed several companies across the industry investing more and more resources into SPO, while intentionally rearranging the operations to more closely mirror an end-to-end business model. While these companies are moving to operate end-to-end at the business level, we take a step further as we are supported by our end-to-end technology platform, which provide the company with what we believe to be a massive advantage that can assist us in growing our market share over the coming years. In addition to having even stronger conviction in our end-to-end tech and operating model, in 2022, we further enhanced our programmatic capabilities of CTV, data and video offering through the acquisition of Amobee and investment in VIDAA. Amobee has significantly enhanced and further differentiated our technology platform through the addition of important TV capabilities, including TV planning, new cross planning and segmentation. We believe this newly added capabilities strongly enhance the company positioning as linear TV and CTV continue to converge and as advertisers and agencies increasingly pick solution that enable them to more effectively plan and deploy spend across both linear and digital. Recent technology and developments in the advertising ecosystem, as well as ongoing uncertainty in the advertising environment has driven customers to be more prudent, data driven and strategic in how they plan campaigns and deploy spend to achieve their KPIs. Customers are consolidating budgets and spent with fewer advanced tech platforms that can deliver data driven solutions across planning and activation, enable improved returns on expense and better position them to react and adapt quickly to rapidly changing industry conditions. The linear TV planning features added through Amobee, combined with our pre-existing strength and variety of data capabilities within CTV and in-house SSP, enable us to create a new and unique technology to plan campaigns across both linear TV and CTV simultaneously. We believe this is the first of its current technologies that has massive potential in the market and that is the perfect time for this tech to be integrated into our ecosystem to capitalize on current trends within the industry. As its ad supported streaming continue to grow and as linear TV broadcasters increasingly expanded into CTV, we believe cost planning is becoming strategic and vital to agencies and brands. This technology enabled partners to reduce deduplication that took hold when presenting ads on both formats to the same user to better understand through each. While the technology increased our CTV capabilities, it also significantly expanded our addressable market as we can now offer powerful and highly desirable solutions to customers within the linear TV acquisition. While we expect faster growth in CTV ad spending, linear TV advertising continues to represent a much larger market than CTV advertising at the moment. We believe well over $50 billion per year be spent advertising on linear TV in the US versus approximately $20 billion per year in CTV in the US currently. Our new linear TV and cross planning capabilities has already better positioned the company during the initial commercial and partnership discussions with some of the world's leading broadcasters and agencies, and we expect this traction to continue going forward. We are currently engaged in an ongoing partnership discussion with leading broadcasters and agencies and are offering trial to those seeking to leverage our cross planning tools. We are encouraged by early signs that this technology increases the willingness of major broadcasters and agencies to evaluate our tech solutions, as well as the likelihood of those broadcasters and agencies adapting offering across our end-to-end stack. We have optimism that the tool and enhanced relationship with large broadcasters will not only enable us to effectively access the linear TV market but will also drive more CTV spend across our platform as advertisers seek solutions to help them plan and execute campaigns across both linear and digital. Overtime, we will work to onboard more partners and encourage those partners to adapt more of our products, while also seeking to gain increased level of spend and budget from those partners to deploy across our ecosystem. In addition to the important new planning capabilities we gain, Amobee also significantly enhanced our omnichannel enterprise, self serve DSP display and performance media buying capabilities as well. The acquisition also ended financial scale and increased demand for the significant number of new global brands and agency customers who we are excited to be working with. Since concluding the acquisition, we have made a significant progress in quickly combining the company. We consolidated management, sales, marketing, product and R&D teams, improving efficiency while saving approximately $50 million in annualized operating costs. The integration of new sales team members and getting everyone cross trained on our product ecosystem took slightly longer than anticipated. However, we believe the teams are now fully integrated and we have confidence the combined team is prepared for success going forward. We will remain focused on generating further cost savings by consolidating tech and vendor fees as we work towards combining the Tremor Video and Amobee DSPs into one enhanced platform. We continue to expect to achieve $65 million in total annualized operating cost synergies attributable to acquisition and to mostly finalize the tech integration by the end of H1 2023. Upon completing the integration, we believe we will have one of the most comprehensive, efficient and scaled CTV and video focused end-to-end platform offering in the open market. Our platform will also further differentiated through our relationship with Hisense and strategic investment in VIDAA, which we believe will further support our growth and leadership position within CTV for years to come. In mid-2022, we invested $25 million in VIDAA, a small TV operating system and streaming platform and subsidiary of Hisense. This investment created a powerful partnership with one of the fastest growing global CTV operating systems and one of the largest and fastest growing smart TV OEM brands, while further enhancing our data and media offering. Over the past several months, VIDAA has made significant progress growing its global market share. VIDAA has recently driven increased adoption by several additional smart TV brands and major CTV partners. We also believe VIDAA now deliver a wide variety of major US export services and streams on an average of roughly 1 billion hours of content per month. VIDAA also recently announced the launch of VIDAA Free, its streaming app offering video on demand live linear, FAST and ad supported content, which will be available on millions of VIDAA powered smart TV from from Hisense. VIDAA Free currently live in the US states with plans to expand globally later this year. As VIDAA equivalent to channels like Roku Channel continues to scale and as VIDAA on both additional ad supported content in the future, we expect increasing benefit from the ad monetization exclusivity in the US, UK, Canada and Australia we gained through our investment. VIDAA Parent company Hisense, which also own the Toshiba smart TV brand, has also recently achieved major success and recognition in growing its global smart TV distribution. According to AVC Revo, Hisense rose to number one in the world for monthly global smart TV shipments for the first time during December. As Hisense continued to grow share in the global smart TV market, our exclusive right to distribute VIDAA Global ACR data gained through our VIDAA investment should provide increasing benefit and become even more desirable to those seeking this data set for CTV targeting and measurements. I can't emphasize enough how unique our access to this data is as most other major smart TV OEMs monetize ACR data in-house. While other ad tech companies in the open Internet may have limited access to ACR data, we don't believe any of our peers have global exclusivity like we do with one of the fastest growing global CTV brands. As we look ahead, we expect our investment in VIDAA will begin generating meaningful revenues for the company starting in late 2023 and beyond. We also continue to invest in our share repurchase program during the fourth quarter to drive what we believe will be added long time value for our shareholders. In Q4, we repurchased approximately 3.1 billion ordinary shares, reflecting an investment of GBP9.5 million or $11.3 million. For full year 2022, we repurchased approximately 16.9 million ordinary shares or roughly 11% of shares outstanding, reflecting a total investment of approximately GBP70 million or $86.2 [billion]. Should shares remain at discounted levels, we will seriously consider extending the program or authorizing new program to take advantage of the valuation of utility once the current program is finished. In addition, we continue to generate increased momentum and adoption across Tremor Video and Unruly. During Q4, Unruly added 87 new supply partners, including 56 in the US. For all of 2022, Unruly added 319 new supply partners, including 160 in the US. During Q4, Tremor Video added 42 new advertisers customers and 233 for all of 2022 across retail, political, CPG, travel and automotive verticals as well as others. Finally, we intend to rebrand the company and consolidate our brand portfolio under one name later this year. We believe this will enhance our commercial focus and better convey the holistic value proposition of our unified end-to-end technology stack in the market for the company's next phase of growth. With that, it is now my pleasure to turn the call to Sagi.
Sagi Niri: Thank you, Ofer. Today, we’ll review highlights and key financial and operational drivers of our Q4 and full year 2022 performance. As a reminder, Q4 results include contributions from Amobee, while full year results include contribution from Amobee for the September 12, 2022 through December 31, 2022 period. For the three months end of December 31, 2022, we generated record contribution ad stack of $103 million compared to $88.6 million in Q4 2021, alongside Q4 adjusted EBITDA of $36.9 million compared to $54 million in Q4 2021 in line with market expectations. We also generated record programmatic net revenue of $94.5 million in Q4, reflecting year-over-year growth of 27%. During the quarter, we saw improvement in advertising demand environment compared to Q3, particularly when compared to July and August. However, macroeconomic challenges continue to impact advertising demand across several verticales and formats, most notably in December, and holiday day shopping and advertising season wasn't as strong as we've seen in prior years. Additionally, the US midterm election cycle and 2022 FIFA World Cup didn't generate significant revenues for the company during the fourth quarter. From a vertical perspective, we saw advertising spend in Q4 increase year-over-year in industries, such as automotive, entertainment, food, retail, sports and political, while vertical such as CPG, personal and consumer finance, fashion, electronics and other sectors tied heavily to consumer discretionary spending. So advertising spend declined year-over-year during Q4. Importantly, despite the macro backdrop continuing to impact the overall advertising demand environment, we continue to significantly expand our market share within CTV, generating record CTV spend on our platform in the fourth quarter. CTV spend on our platform increased to $99.6 million in Q4, reflecting 59% year-over-year growth compared to CTV spend of $62.5 million during Q4 2021. Video, including CTV, continued to account for an overwhelming majority of our Q4 and full year 2022 net revenue at 73% and 79% respectively. Our ongoing focus on CTV and video was further enhanced through the acquisition of Amobee, investment in VIDAA and integration of Spearad, positioning us very well to continue expanding our market share in this fast growing segment of digital advertising. Additionally, as streaming services continue to launch new ad supported tiers and advertisers increasingly transact programmatically, we feel that we are indexed to some of the fastest growing parts of the market with scale and ability to service customers across their entire workflow. We also continue to generate strong margin during our first full quarter of being combined with Amobee, which was a loss making business when we first acquired the company. In Q4, we generated an adjusted EBITDA margin of 34% on reported revenue basis and 56% on a net revenue basis. As we continue to integrate the company, we expect to incrementally drive margin back towards historical levels overtime. For full year 2022, we generated record contribution ex-TAC of $309.7 million compared to $302 million in full year 2021, which was in line with market expectations. We also generated record programmatic net revenue in 2022 of $274.4 million, which reflected 3% growth compared to 2021. The company also drove record annual CTV spend of $283.6 million, which reflected 41% year-over-year growth from the $201 million of CTV spend generated in 2021. In 2022, CTV spend reflected 39% of total spend and 42% of programmatic spend. During full year 2022, we also generated adjusted EBITDA of $144.9 million in line with market expectations compared to $161.2 million of adjusted EBITDA in 2021. For full year 2022, we generated an adjusted EBITDA margin of 43% on a reported revenue basis and 47% on a net revenue basis. We will continue to remain acutely focused on generating high levels of profitability as we believe this enable us to invest in our platform to drive future growth and technological innovation, while also positioning us strongly to opportunistically invest in our shares at discounted valuation level to generate added long term value for shareholders. We also achieved a net retention rate of 80% during 2022. While the company net retention rate declined year-over-year, largely due to lower spending by advertising customers amid challenging market condition, the company was able to increase its active customer base. Turning to our cash flow. We generated net cash from operating activities of $23.9 million during Q4 2022 versus $48.7 million in Q4 2021. For full year 2022, we generated net cash from operating activities of $83 million versus $170.1 million in 2021 and Amobee contributed negative $1.5 million to those full year results. In 2022, we also incurred approximately $4.9 million in one-time severance and retention bonus related costs associated with the reorganization of Amobee employees into the Tremor International base, and again, maintain the particular focus on retaining sales, marketing, technology and product talent during the consolidation process to further the combined companies’ go-to-market and technology strategy. In addition, we currently expect our 2023 share based compensation extend to be significantly lower than 2021 and 2022. Under the currently in place plan, we expect to incur less than 25 million in share based compensation in 2023. Further if we are unable to obtain shareholders’ authorization to extend our employee equity incentive grants, we maybe required to incur higher cash based compensation charges to replace employee equity incentive grants in order to continue to attract and retain talented employees. As of December 31st, we had $115.5 million net cash, as well as $80 million undrawn on our revolving credit facility, providing ample liquidity for the ongoing needs of the business, as well as for future potential strategic investments and initiatives. During the fourth quarter of 2022, we experienced 85% free cash flow conversion and for full year 2022, we experienced free cash flow conversion of 96%. Non-IFRS diluted earnings per ordinary share was $0.15 for Q4 2022 versus $0.27 in Q4 2021, and $0.60 for the 12 month ended December 31, 2022 versus $0.83 for the 12 months ended December 31, 2021. Finally, I'll now turn to our outlook. Global macroeconomics uncertainty, which negatively impacted the advertising industry throughout 2022, has continued to drive challenges for Tremor with global customers and its partners to this point in 2023. We saw the advertising environment significantly softened during the month of December and January and into early February, but we've observed potential signs of recovery and stability in the market since that time. However, due to these ongoing challenges driving continued advertiser uncertainty, we expect global advertising to remain constrained during H1 2023 and potentially longer. Although, we do not anticipate at this time for advertising demand to weaken to the soft level observed in late 2022 and earlier in 2023. As a result, we are lowering our full year 2023 contribution ex-TAC outlook to approximately $400 million and our 2023 adjusted EBITDA outlook to be in the range of approximately $140 million to $145 million. Despite this lowered annual guidance, we believe the company will experience incrementally proven to result in H2 2023, driven by anticipated positive effect of completing the integration of Amobee, expected meaningful revenue benefits from the company's investment in VIDAA, which we believe will begin in late 2023, and expectations for tempered improvement in the global advertising demand environment. In 2023, we believe revenue tied to our core business focused on programmatic activities will grow approximately 5% on a combined pro forma basis while revenue in our performance business is expected to decline year-over-year. Despite near term challenges, we believe our deepened footprint within CTV, video and data, powerful partnerships and newly enhanced and differentiated tech capabilities position us incredibly well for future growth and market share gains. We also believe our efficient end-to-end operating model enable us to generate healthy levels of cash and profitability, offering us the flexibility to opportunistically invest in further tech enhancements and platform differentiation to more strongly position the company for when market and advertiser condition improve. I'm incredibly excited for the company's positioning within the industry and the recent milestones we've achieved and believe our future looks bright. With my remarks completed, I'll turn the call back to Ofer.
Ofer Druker: Thank you, Sagi. 2022 was an incredible year. We significantly grew our CTV market share and maintained our focus on generating strong cash flow and profitability, while enhancing our tech capabilities to drive further growth and added long term shareholder value. The added scale, tech, data and cross planning capabilities gained through Amobee, as well as the exclusive global ACR data rights and enhanced monetization of exclusivity gained throughout investing in VIDAA, also enhanced our end-to-end platform in a meaningful way. Our differentiated ability to provide solutions across planning, data, activation and media, put us on a very short list of providers that can benefit brands, agencies, broadcasters and CTV partners, and enable them to achieve their KPIs in ways no other single vendor can. We remain excited for coming enhancement to our platform and unifying our brands, which we believe will further solidify our position as a leader in the linear TV and CTV advertising ecosystem. Operator, we will now open the call for questions.
Operator: [Operator Instructions] Our first question comes from Matt Swanson from RBC Capital Markets.
Matt Swanson: Sagi, we haven't seen a lot of full year guides come from your ad tech peers. So I think it'd be really helpful if you could give us a little bit more detail on your macro assumptions and kind of maybe even some of the seasonality or linearity we should expect when thinking about our models from first half to second half split?
Sagi Niri: Yes, I think we are like expecting or experiencing some weaknesses in Q1, of course, driven by the well known challenging macroeconomics factors. I think as Ofer mentioned, the integration of Amobee team members and cross sale training took us a little bit more than expected. Although, we managed to get the efficient plan in place very quick. And of course, we are anticipating that during 2023 we will see some improvements from the scale of the number of ACR data or the level of ACR data that we will get from VIDAA and of course from other initiative that we are seeing already first time. Regarding the seasonality, of course, as the marketing/advertising market is growing, we think that in H1, we will see somewhere around, I don't know, 42% and of course 58% will come in H2. Again, I'm reading several analysts and other surveys, people are expecting H2 macroeconomics to get on a better trend. So of course, we will benefit from that as well. But I think this is what we are seeing for now.
Matt Swanson: And then Ofer, I know it's early for Amobee, it's great to see the cost synergies. But maybe from conversations with their customers or if you have seen anything yet in forms of revenue synergies. I know getting Amobee to go cross platform was one of the big intriguing points of this deal.
Ofer Druker: First of all, I think that Amobee brought to us a lot of capabilities that we were not having before. We just added a full capability for planning on linear but also cross planning, which is really important in this period of time. And we will touch this point in a minute, but about the business model that is also taking into account the elements of Tremor and helping it to become much more profitable. But in general, when we are looking at planning tools, I think that there are two elements that are really important to mention here. One of them is the timing. Meaning that people wants to get more out of their money. So better planning usually means better results. And I think that with the tools that we are offering now to linear and cross platform advertisers, they can get more out of their money. And working with us, they can basically achieve more when they are running on linear but also when they are running on streaming and digital alongside that. The second thing is the growth or the rise of the AVOD. Meaning in the past, I feel that linear that was a very big element, more than $50 billion just in the US. People were looking at the CTV and so on but it was not meaningful for them to move their attention also to this channel. Now, because of the growth of the AVOD, people are looking at that and we are there to basically help them and move also budget to this size of the equation. So I think that this is very meaningful, because when you are just selling planning tools without activation and without the SSP part or the connection between the planning, the DSP and the SSP as a full platform, end-to-end platform, you are not able to basically keep this business profitable. But when you are connecting the dots like we are now offering in the market, you are able to do that in a very meaningful manner. And as we wrote also in the script when we spoke about it, we are looking at that, that advertisers really interested in that, it's increasing the interest of broadcasters, big agencies and advertisers to work with us. And I think that it will give us a lot of room to grow together with Amobee. Regarding synergies, apart from that, is also shifting and growing the trust of the Amobee advertisers in the full system in the end-to-end system to push more budget to enrolling, to enjoy from our products around the data and targeting that is very meaningful for them and add to then a lot of value when they are buying media on a network solution. So in general, I feel that Amobee combination with Tremor is very meaningful to us and it's two big systems that we are connecting now in the last few months, but it's starting to show the fruits that we were expecting to see.
Operator: Our next question comes from Laura Martin from Needham.
Laura Martin: Could we go back to the ACR data? A couple things you said were really intriguing. You said that other people sort of use their ACR captively, which definitely Roku does. Are you guys going to actually sell your ACR data and sort of compete with the Samba TVs and the iSpot TVs, or are you just going to use the ACR data to give your platform competitive advantage? So let's start with that.
Ofer Druker: We basically believe very strongly in ACR. We are using ACR for more than five, six years now. And now we signed this agreement with VIDAA, which we look at it as a very strategic agreement that we also invested $25 million in and also to get exclusivity for long term. And we got exclusivity on the ACR of Hisense basically, VIDAA story, which is related to Hisense until the end of -- in a couple of years from now globally. And the meaning of that, for us is very -- as you said, most of the people are using it in a silo, they are not in the wall garden. We will enable people to use the targeting in order to reach the open web and we will be able to -- we have according to the rights of the agreements with Hisense to also to sell or to license this data to tell party in order to target or to conduct measurement. When we are looking at Hisense and we started this discussion with them like two years ago, they were like number four, five and you can look at our press releases, we were dreaming to be number two one day. Last year, VIDAA was already number two, Hisense was number two in delivering TVs. And in December last year, they even became number one for one month in December, and there was the most selling CTV in the world basically delivering smart TVs in the world in December 2022. So we believe that this is a very meaningful event. We have the rights for this data for a couple of years ahead. We are going to use it for our targeting. We are going to enable other people to target when they're buying from a media or using our platform, and we are able to license the data to third party in order to target or to conduct measurements.
Laura Martin: And then my second question is, you said you had an [80%, 10%] retention rate, but that you increased active customers. Could you talk about -- if you could quantify that, like how many active customers did you add in the quarter or the year and who were you gaining, when you're gaining new customers, are they in autos or like what kind of silos are you take -- getting new customers from?
Ofer Druker: So what we meant to say is that basically we see that we are -- our retention rate is very high, but some of our customers basically reduce the level of spend this year -- last year, because of the microeconomics. Because of the market condition, they are not spending like they used to invest in the past and they are reducing the volumes. And we keep always adding more and more clients. I think, that in the earning call we even mentioned that you can find the points of how many advertisers we added, I think around 200 and something, I will continue. But we added a big amount of new clients into the system and we are adding them from every -- we are not looking at some vertical industry and going only after them. We are going across the board and our teams in the US and internationally of course, offering our product to all the verticals and all type of advertisers. Usually, of course, we are doing it through the agency and working with the client in parallel and most of our business in the US. And we are usually going after the advertisers that are, what we call, national advertisers in the us, which are, of course, able to invest a lot in advertising. And just for the numbers, we added about 233 new clients in 2022.
Operator: Our next question comes from Thomas Doheny from Stifel.
Thomas Doheny: This is Thomas on for Mark Kelley. First, I was wondering if you could please provide any color on CTV growth expectations for the year. And then kind of following up on that, how much visibility do you guys have for the full year now compared to the end of last year?
Ofer Druker: So when we are looking at CTV, first of all, we can look at remarkable growth that we generated last year, 41% year-over-year, 59% just in the fourth quarter. And as we all know, last year was not walk in the park. It was a very difficult year from every aspect and we were able to keep the growth of CTV. And when we are looking now, we have some privilege that we are reporting one of the last. So we can see, look at the peers. I think that we are growing most than -- more than most of the peers around CTV, which is really impressive. And I think that it's coming from a few elements. It's coming from our deep technology around CTV, product around -- a lot of products around targeting that we built over the years, Tr.ly, which is a very unique creative or the data-driven main front and end-to-end solution, which is really helping clients to buy consolidated costs and become more efficient. And of course, our reach in the market because of the number of publishers that we are working with the CTV front. So the growth came -- continue to grow in 2022 when we're looking at year-over-year 41% growing in the fourth quarter, 59%. And we believe that this growth will continue because I think that our unique position in the market, the professional level of our salespeople, operational people, our data people is providing amazing service to these people that are -- to the advertiser to now buying CTV and they continue to come to us in order to process their campaigns around CTV and we believe that it will grow. To give you visibility about this year about our growth is very difficult, of course, because of the macroeconomic situation. And I think that it will be irresponsible but we feel that the growth will continue also this year in a meaningful manner.
Thomas Doheny: And one follow-up. So I was just curious if you could quantify or talk a little bit more about how big the World Cup was for key results?
Ofer Druker: It was not massive. I think that what we were able to demonstrate in this occasion was more around our capabilities, meaning to get into an agreement or exclusive agreement with FIFA to run their CTV with us -- CTV element with us globally to push the distribution on VIDAA and Android TV around -- millions of users around the world and to run advertisement on that. I think that this is a meaningful event and gave us like the capability and show us the capability to do that. It was not meaningful because, of course, it happened at the end of the year and you saw that the end of the year was not a strong part of that year. December was not a strong month like usually does. And the second thing is because also I feel that because it happened in Dubai -- in Qatar, sorry, and it was -- it created some issues with some advertisers and so on. So I think that it was not meaningful, but it shows the capability of us to take a sport event and to run it in a very powerful manner on CTV, connecting all the dots of our end-to-end solution, our relationship with VIDAA and our relationship with Hisense around the globe.
Operator: Our next question comes from Eric Martinuzzi from Lake Street.
Eric Martinuzzi: I wanted to revisit the guidance in light of the reset. It's definitely a pretty substantial reset on the net revenue and the contribution ex-TAC. We're not looking at $400 million down from the prior $460 million, so off about 13% just in the last 90 days. And if you're talking about the core programmatic on a pro forma basis being up about 5%. So what -- can you help me better understand the puts and takes there?
Ofer Druker: Yes. I think that when you -- the environment now is very dynamic. When we basically gave this guidance, it was in the beginning of the fourth quarter last year when we were like cautiously optimistic about the future. But what we saw after that is if you also look at the peers that basically Q4 was not a great period and it was not acting like a Q4 and December was flat and low compared to usually what happened in December and then also this year started a little bit slow. I think that what happened is that most of the agencies and most of the clients delayed their decision about spending and about investing and it's pushed a little bit further. So it's giving you less time to exercise this demand, first of all, and the second thing is there is a lot of uncertainty. So if you look around, we are saying, first of all, we have 2 challenges. We have the macroeconomic challenge that we need to face. And we are looking in long term that we need to integrate Amobee in a smart manner into Tremor. So these 2 combined, I think that the fact that we can grow by 5%, like most of our peers basically demonstrated and we can keep very high profitability is a very meaningful event. And I think that we are doing it because -- not because again, something is meaningful happen. But because of the macroeconomic situation that basically lowering the level of spend of most of our clients and we don't feel after talking to them that it's going to change dramatically over the year in this point in time.
Sagi Niri: And on top -- Eric, and on top of what Ofer just mentioned, I think that when we are looking on our peers guidance, we didn't see like anyone I'm taking out now The Trade Desk from the equation that is giving like a high even 1-digit increase. So I think that our guidance or lowering the guidance is now in line with all of what the other peers are guiding. So most of them are growing by, I don't know, 5%. And again, as you mentioned, within our activities, our programmatic activities, which is our core activity and our main focus is growing year-over-year on a pro forma basis by 5% while the legacy noncore performance activity is declining.
Eric Martinuzzi: And then I want to -- I'm kind of new to the story and I want to understand the seasonality. I know you didn't give specific guidance for Q1, but what's a normal on the pro forma combined with Amobee, what is a typical seasonal step down from Q4 to Q1?
Sagi Niri: So again, I think that's what's happened in the last two years, 2020 with the emerging of the pandemic in 2021, which was the year like stepping out of the pandemic, which wasn't usual as well, kind of turned out to mix and shift all the things that we knew about seasonality. Having said that, I think that somewhere -- as I said to Matt before, I think it will be -- H1 will be 42%. H2 will be 58%, something around that.
Ofer Druker: Historically, that was the number like a few years ago, but I think that all the seasonality in the past few years changed because of the pandemic. And after that, in the last year or so what, like in 2020, the pandemic started and 2021, we saw a rise in the second half and then up and down because of the social unrest. And then again, in 2022, we saw like a little bit different behavior than we saw years before because of Q4 that was not acting like really Q4 in January.
Eric Martinuzzi: And my last question is on the new brand. Is this potentially consolidating to an existing brand? Or is this creating a new brand out of whole clock?
Ofer Druker: Regarding the brand, so there are two reasons that -- there are a few reasons that we want to conduct, of course, rebranding. One of them is internal to connect all the people to the cost. People will feel that they are connected that they have a new family that they are joining and they are part of it. And the second thing, I think, that we need to create a new brand in order to be able to emphasize to clients, to partners and what we are really offering in a different manner without basically using a few brands that sometimes confuse them. So I think that this is the major role inside and outside in order to reflect our capabilities outside but also connect the people inside in a better manner and we are in this process already and we plan to conclude the same.
Eric Martinuzzi: So we wouldn't have any baggage from legacy brands. It would be something new.
Ofer Druker: We hope so. Yes, that's the plan.
Operator: Our next question comes from Andrew Boone from JMP Securities.
Andrew Boone: I wanted to ask about VIDAA Free. It seems like a tremendous opportunity as you guys have, I would assume, exclusive access to a CTV streaming channel and AVOD channel. Can you just double-click on what that could possibly mean? Help us understand what it is, the timing of it and then just the overall opportunity.
Ofer Druker: So basically, VIDAA is creating channels now, streaming channels with content that they bring from content partners. They created it on TV, on their OEM system and on the OEM with the operating system. And we have exclusivity with them because of the -- thanks to the investment that we've done with them of $25 million for a couple of years. So basically, it will give us access to more media in exclusive manner in the next couple of years, US, Canada, Australia and UK. And the meaning of that is that they are now building it. They already have a lot of traffic around the globe. But when you are looking at that, it will give us like more and more unique and exclusive media that we can basically offer to our clients and we are working with them now closely and adapting our technology stack in order to operate it globally on their platform.
Sagi Niri: And Andrew, just for you to understand, of course, the operating system is the one that is controlling what the user or the consumer will see on his TV. So of course, they can control the level of exposure and the exact location of where their first channel will be shown. So they can like put some kind of pressure or allocation towards the users in order to consume their content.
Andrew Boone: And the next thing I wanted to ask about was just the repurchase cadence as we think about 2023, shares are down this morning. How do you guys continue to think about buybacks, especially given the fact that you're still generative in terms of cash flow and then the significant cash balance that you continue to operate with?
Ofer Druker: Sagi, do you want to take them?
Sagi Niri: Yes. I think as Ofer mentioned in his words, it's something that we are considering. Of course, as you said, our fundamentals are still very strong. We are cash generative, we're profitable. So as long as the share price and the valuation of the company will make sense for us to keep on and adjusting our repurchase plan into a much massive one, of course, we are -- we will do that. For now, we announced like the $20 million repurchase on October, which is close to end. And of course, we'll take our decision in the next weeks.
Operator: Our last question will come from Andrew Marok from Raymond James.
Andrew Marok: Apologies if these have already been answered, been bouncing around between a couple of calls. We heard commentary from other players in the space about '23 being an inflection year, not only in the amount of AVOD supply, but also the amount of inventory going biddable. What assumptions are you including in your outlook on these fronts?
Ofer Druker: So you're talking about growth of media, right?
Andrew Marok: Yes.
Ofer Druker: So I think that usually, you need, of course, in this case to have like the demand side, which means the budget that is coming from the clients that are pushing them through the agencies or directly to the platform. I think that most of the concern now is not about the media side. I think that we have a very big reach in the market around CTV, around online video display and every other format. I think this is not a challenge. I think the challenge in the market now is the level of investment that the advertisers are willing to put in the market, which is it's meaningful for the market to grow, of course. Because if we look at the results and the summary of a lot of companies that are buying media in the market in order to promote their services and products, you see that they are cutting their spend, basically, they are cutting their investment in media and so on. So I think that the challenge is not on the side of the media, it's on the side of the advertisers/agencies that are basically moving the market. And I think that on that side, we see that a lot of the advertisers and agencies are lowering their spend in the past year. And they still -- I don't know if we -- I don't know if I -- and our assumption, it will not get worse than today, but we saw in the last, let's say, close to a year now since February last year, we saw like a lower spend from a lot of the advertisers that we are working with. And if you look at our peers, I think that they experienced the same.
Sagi Niri: Yes. In addition, I think that we have some kind of advantage here because we just go from the investment in Amobee, an ATV tool, which is a planning tool for linear TV. And now this planning tool knows how to take linear TV campaigns and find the same audience on digital. So this is -- gives us some kind of advantage where an advertiser/agency/customer wants now to find his audience, he can very quickly find it through linear into digital and vice versa, which I'm not sure that most of our competitors have this technology capability right now.
Andrew Marok: And then just lastly on the guidance with your commentary around 5% combined pro forma programmatic growth, just want to be 100% clear that I understand the definition of what pro forma is and kind of what assumptions you're baking in for Amobee as well.
Sagi Niri: So when we are saying on a pro forma basis, we are meaning that if we are taking 2022 and adding the Tremor numbers into Amobee numbers on a full year basis, this is what we are calling pro forma basis. So this number or this programmatic number will grow in 2023 by 5% and it will be offset by the decline of the noncore activity, which is performance.
Operator: We have no further questions in queue. I would like to turn the call back over to Ofer Druker for closing remarks.
Ofer Druker: Thank you, everyone, first of all, for your time. I think that for us, it's very exciting because 2022 was a very important from a strategic point of view, building the future. We basically enhanced our capabilities and extended them also to planning, which I feel that this period of time that the market is tough, people want to get more out of their money. So if they will use our tools, they will be able to drive additional results from the same budgets because of better planning, which I feel that is very important. It's giving us also ability to grow the enterprise solution that we are offering in the market. And I think that is also very important for long-term. And also the investment in VIDAA, as we just discussed, CTV, we already see very strong results coming from our company in CTV growing 59% in fourth quarter, 41% in full year. It's very meaningful. And I think that it's thanks to our basically creativity, innovation around technology, about our assets, about our reach in the market. And I think that the cooperation and investment in VIDAA will -- as Laura mentioned, ACR is a very rare asset in this market. And when you have it, you can gain a lot from that. And the second thing is also what we mentioned about VIDAA Free and VIDAA streaming, which is giving us a lot of room on exclusive level that is very important in this market. So I feel that the future is like -- 2022 was very meaningful for the company for the long-term. We made these two investments of Amobee and VIDAA that all of them are driving and enhancing our capabilities around TV, CTV, data and video, as we are doing for the last several years. So even in a tough period of time, I think that when you're looking at the long-term, I think that we are in the right direction and we feel excited and secure about our future. So thank you very much and hope to see you soon in our next call. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.